Operator: CN's Third Quarter 2016 Financial Results Conference Call will begin momentarily. I would like to remind you that today's remarks contain forward-looking statements within the meaning of applicable securities laws. Such statements are based on assumptions that may not materialize and are subject to risks described in CN's Third Quarter 2016 Financial Results press release and Analyst Presentation documents that can be found on CN's website. As such, actual results could differ materially. Reconciliation for any non-GAAP measures are also posted on CN's website at www.cn.ca. Welcome to CN's Third Quarter 2016 Financial Results Conference Call. I'd now like to turn the meeting over to Mr. Paul Butcher, Vice President, Investor Relations. Ladies and gentlemen, Mr. Butcher.
Paul A. N. Butcher - Canadian National Railway Co.: Thank you, Patrick. Good afternoon, everyone, and thank you for joining us on our Third Quarter 2016 Earnings Call. I would like to remind you of the comments already made regarding forward-looking statements. With me today is Luc Jobin, our President and Chief Executive Officer; Mike Cory, our Executive Vice President and Chief Operating Officer; JJ Ruest, our Executive Vice President and Chief Marketing Officer; and Ghislain Houle, our Executive Vice President and Chief Financial Officer. In order to be fair to all participants, I would ask you to please limit yourselves to one question. I will be available after the call for any follow-up questions. It is now my pleasure to turn the call over to CN's President and Chief Executive Officer, Mr. Luc Jobin.
Luc Jobin - Canadian National Railway Co.: All right. Thank you very much, Paul, and let me in turn welcome all of you to CN's third quarter call. As Paul indicated, the whole team is here today, and we are very pleased to report another outstanding quarter, one that has seen us continuing to advance our performance in terms of safety, in terms of service, and in terms of productivity. These results demonstrate how nimble we are at adapting to today's reality, seizing opportunities to deliver bottom-line results while positioning ourselves to meet tomorrow's prospects. Our revenues were down 6% while RTM has declined by 3% in the quarter. These results were reached while we were still experiencing the lingering effects of corrections in major commodities sectors combined with sluggish economic growth and a delayed harvest of the Canadian grain crop. JJ will give you more color on this in a minute. In terms of operating performance, we clocked in a record-breaking operating ratio of 53.3%. It's difficult to achieve this level of results and to do so without compromising our long-term goals, so kudos to the entire team. Our steadfast focus on safety, combined with balancing operational and service excellence came through again in this quarter. Mike will give you details on how we fared across all our key metrics. We continue to deliver superior service by leveraging our collaborative supply chain approach. This quarter, we earned an adjusted diluted EPS of CAD 1.25, only 1% lower than in the third quarter of last year. We also generated free cash flow of over CAD 1.7 billion year-to-date, which is in line with last year's results. Ghislain will expand on our financial results. I will now turn it over to the team for their comments starting with you, Mike.
Michael A. Cory - Canadian National Railway Co.: Well, thank you very much Luc, and I'd like to thank the entire CN team for achieving outstanding results in the quarter. Our operating team of employees and leaders are top of class, and they strive each day to improve our service offering. So with that, let me turn over to the results. As you can see, we had a solid quarter against some very tough comparables. Those comparables continue to get tougher when you look ahead and especially considering the exceptionally mild winter we had last year. Our mandate continues to be a strong focus on executing the operating plan. We take a strong position on maximizing use of our assets in line with ensuring our service offering is what our customers need. I'd like to touch on three key core areas that remain our team's focus moving into Q4, and these are safety, service, and productivity. Safety is fundamental to our success at CN, and our safety performance this year remains strong, but we're never comfortable to sit on that front. Year-to-date we've seen major improvements in both main track and non-main track accidents. Our FRA accident ratio has improved from 2.06 year-to-date 2015 to 1.32 year-to-date in 2016. As you can appreciate, this improvement in our FRA accident ratio has resulted in a corresponding reduction in the cost associated with train derailments. However, our FRA injuries have been flat year-over-year, and that leads us to engage deeper in order to realize the improvement that we must have. Our balanced approach to investment from infrastructure and technology to people and assets, creates the platform our team uses to leverage innovation from the ground up. Everyday we work to balance the core operating leverage you see on this slide, describes our operational and service excellence mandate. One metric I'd like to highlight is our train productivity. We were able to increase the GTMs per train mile by 6% while improving both our car velocity and our train speed. This illustrates our ability to run heavier, longer trains faster than the year before. This ensures we drive out cost, but not at the expense of speed or service to our customers. Let me share a few examples of this with you. With a bumper grain crop coming off the field, we're able now to run 12,000-foot, 28,000-ton grain trains from country origins to port. This decreases overall labor cost while increasing fuel efficiency and reliability in moving the grain. We've also increased the number of long trains operating in the Northern Ontario segment, which is a 1,200-mile segment between Winnipeg and Toronto. We've done this by utilizing strategically placed long siding investments, adding distributive power to increase train size and adjusting train schedules for customers' needs and precision meets (06:52). We've also increased the size of our potash trains by 25% in Saskatchewan and Nova Scotia. That's over the same segment. So with these improvements in train size, we're still able to protect premium service for our customers. Our investment in infrastructure over the key Winnipeg-to-Chicago corridor, including the double track over the stilt and hill (07:13) in Wisconsin, has allowed for double-digit productivity increases over the last two years. Car velocity, locomotive productivity, train speed, and trainload have all sequentially improved. This foundational view on productivity and service has prepared us well for the future growth of the company. In our line of sight is the bumper grain crop in both Canada and the U.S. We're handling and ready to handle more of the crop that has been produced. In order to deliver the efficient, reliable services supply chain requires, we've recalled employees back to work. We've prepared grain cars and deployed them close to our customers, so they're ready for use after harvest. We have available locomotives in position as needed, and we've made and continue to make strategic investments in infrastructure across our network. Over the last few weeks, we achieved a record weekly performance for grain car spotting on more than one occasion. Coupled with this, we continue to work in tandem with our partners in the supply chain to maintain fluidity through the fall peak period. Now winter has already started in the Prairies, and this has contributed not only to a delayed harvest but to some severe storms in the West Coast, which has produced excessive rain. As I stated earlier, we know our operating comparables will get tougher going forward for both Q4 of this year and Q1 of next year as a more normal winter is forecast in our network. But the operating team is fully focused on executing the plan. Now as I mentioned in the last quarterly results call, it's not about doing one thing well, it's about working all the levers in a balanced way. And I know we're gaining market share by following these core principles. So before closing, I want to speak about the importance of leadership and development. Our operating leaders are committed to developing our people and growing our bench strength. We've been out and will continue to be out across the property developing our future leaders on the principles we believe in, as we know they bring us success. Ensuring we teach these lessons is something we hold each other accountable for, and it shows as our future leaders become leaders of the day. So in closing, it's about teamwork, innovation, and empowerment, allows the greatest resources that we have here at CN, our people, make the difference that they do. And as a result, I'm convinced we will create many innovative initiatives that will allow us to continue to excel on our operational and service excellence agenda well into the future. With that, over to you JJ.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Mike, and great job from the operation team on of that 53.3%. The third quarter revenue was down 6.5% or CAD 208 million from last year, most directly due to four commodities and from the application of the cheaper fuel surcharge. Carload was down 3.4%, and revenue ton mile was down 4.4%. U.S. coal, crude by rail, frac sand for drilling, and sulphur from energy represented roughly CAD 150 million of the revenue decline. The fuel surcharge application lowered our revenue by another CAD 74 million. On the positive side, we had volume benefit from U.S. housing start, from some U.S. economy growth, of some organic market share gain, U.S. grain volume, and it feels like volume have come off the second quarter bottom in most segments. The all-in same store price on same store sales was up 2.2%. Same store price on same store sales was up 2.8% when excluding a regulated grain and excluding index-based legacy contracts. The Canadian dollar impact was neutral this quarter. I will now go to the results and outlook on some selected segments. Housing starts drove our lumber and panel revenue by up almost 10% versus last year. Our lumber shipment to the U.S. increased 11%, while export carloads to Asia were flat. The softwood lumber agreement expired October 12, and our car orders for lumber have remained solid during the last four weeks. Moving to customers' purchase of motor vehicle. Our automotive revenue was up about 3% in Q3 following a slow start for the quarter. We now handle a bit more than 60% of all motor vehicle purchased by Canadian consumers. Our supply chain services continue to earn us volume. We're expecting some further carload growth in automotive despite the overall flattish demand for the vehicle in North America. On crude by rail business, which – it dropped 50% versus last year, and our frac sand for drilling was down 30%. But both have sequentially stabilized from last quarter, and we could experience some improvement. Intermodal revenue was down 4%, domestic volume was weak, mostly in wholesale full load, especially in cross-border trade. International volume was challenging as well. Rupert had resumed its trend of sequential growth in July but Hanjin filed for bankruptcy in the end of August and stopped its weekly service. Since then other shipping lines are positioning to take a bigger role in the Rupert gateway. In Vancouver, we recently picked up a shipping line contract, which will come into effect the first of 2017. On the East Coast, Halifax position in the interland (12:29) market is stronger, the volume growth was about 30% in Q3. We've handled the first small rail volume at Port of Mobile, and in the coming months we have plans to add another incremental (12:39) ramp in the U.S. Midwest. Our grain operation is running very smoothly, and my operation partners have described that earlier. U.S. grain revenue was up 20% in the third quarter driven by corn and soybean export. Canadian grain revenue was down 5% due to the quite small inventory left from last year and a later harvest than unusual of this year's crop. The long-awaited Canadian crop is now available since the end of September, and we are now running at record weekly carload for Canadian grain. The near future looks bright for our grain business. Given the bumper crop on both sides of the border, we anticipate upside in grain through to the third quarter of 2017. Staying with bulk commodities, potash produced an incremental 10%, and sulphur from oil and gas declined 40%. The fourth quarter outlook for potash carloading is positive including export by our New Brunswick on the East Coast. Overall, coal revenue was down 32% in the quarter, mostly from decline in domestic terminal coal. Our U.S. coal revenue was down 40%. Canadian met coking coal, which is a coal for making steel, was up 13% but the market is at a cyclical crossroad. One of the idle Canadian met coal in CN will restart this quarter. Pet coke export from the oil sand from Fort McMurray resumed in the third quarter, producing some positive for the upcoming fourth quarter. The Minnesota iron ore mine, UTac, has reopened in mid-August and the Cliffs Empire Mine also producing iron ore closed permanently in October. Last quarter, our combined iron ore rail, dock, and vessel business produced flat revenue versus last year, which is a better omen for the coming quarters. In closing, the sequential quarterly revenue trend has hit bottom last summer and is starting to inflect mildly upward. The fuel surcharge application will remain somewhat a rare revenue headwind as the On-Highway Diesel Index will likely be below the $2.54 per gallon that we had last year at the same time. The pricing environment remains influenced by the excess capacity in all transportation modes, but we expect to continue to produce pricing above rail inflation. On that point it is useful to remember that the AAR All-Inclusive Less Fuel Index was below 2% in both 2015 and 2016. Finally, it is useful to reflect also on CN some key business strength of our model. We have a very diversified book of business. We are connecting North America to the world market by our three coasts, easily pivoting around Chicago with the EJ&E ring railroad advantage, and we are providing services conceived with the customers in mind. And we do have the industry lowest operating ratio, and we've had that for quite a number of years. Ghis, I'm going to pass it on to you to do the CFO review.
Ghislain Houle - Canadian National Railway Co.: Thank you JJ. Let me review the financial highlights of our solid third quarter performance. Revenues were down 6% at slightly over CAD 3 billion. Fuel lag on a year-over-year basis represented a revenue headwind of CAD 36 million or CAD 0.03 of EPS. All driven by a favorable lag experience in the third quarter of 2015. Operating income was down 5% versus last year, or just over CAD 1.4 billion. Our operating ratio came in at 53.3%, an all-time record for CN representing an improvement of 50 basis points over last year. Net income stood at CAD 972 million or 3% lower than last year. With diluted earnings per share of CAD 1.25 versus CAD 1.26 in 2015, down by 1%. The impact of foreign currency on net income and earnings per share was negligible in the quarter. In the third quarter, we recalibrated our effective tax rate from 28% guidance, or let me be a little bit more precise, 27.5% to 26.5% full year 2016, driven by more earnings in Canada versus the U.S., which caused the third quarter effective tax rate to be around 24.5% due to the six-month catch up. Turning to expenses, we definitely made progress in the quarter in terms of safety, productivity, and cost management while continuing to provide superior service. Operating expenses were down 7% versus last year at just over CAD 1.6 billion, driven by lower head count in light of the week volume environment. At the average exchange rate in Q3 2016 was essentially the same as last year, both actual and constant currency variances are the same. Labor and fringe benefit expenses were CAD 495 million, 16% lower than last year. This was mostly the result of lower wages and pension expense. Wage costs decreased by 6% as wage inflation was more than offset by a reduction of about 8% in average head count for the quarter versus 2015. Pension expense was CAD 49 million favorable, and we still expect a pension tailwind of approximately CAD 180 million this year mostly driven by the adoption of the spot rate approach to estimate current service cost and interest costs. Purchase services and material expense were CAD 379 million, 5% lower than last year. Lower volumes and our continued cost management initiatives helped reduced our trucking and transload expenses by CAD 10 million and material repairs and maintenance by another CAD 10 million. Also our solid safety performance contributed to lower accident cost by CAD 7 million of the overall favorable variance. These elements were partly offset by lower capital credits for CAD 8 million and increased outsourced services by also CAD 8 million. Fuel expense came in at CAD 269 million or 11% lower than last year. Price was favorable by CAD 13 million, and lower volumes accounted for an additional CAD 10 million reduction. Fuel productivity came in at 1% but when you exclude an inventory adjustment in 2015, it was up 2.9%. Depreciation stood at CAD 312 million or 9% higher than last year. This was mostly a function of net asset additions. Casualty and other cost was CAD 68 million, which was CAD 5 million lower than last year mainly attributable to a favorable settlement of a claim with CP for CAD 25 million, essentially offset by an increase in provision for bad debt related to the Hanjin bankruptcy for CAD 20 million. Turning to cash, we generated free cash flow of CAD 1.743 billion through the end of September, which is essentially flat versus 2015. Capital expenditures were slightly above CAD 2 billion or CAD 35 million lower than the same period last year. Finally our 2016 financial outlook. Given our solid performance in the third quarter, we are raising our earnings outlook for 2016, now expecting adjusted diluted EPS to be up approximately 1% versus last year's adjusted diluted EPS of CAD 4.44. The economic environment continues to be uncertain and volatile, and we believe that energy market-related volumes, namely crude and frac sand, hit the trough in the second quarter. Although sequentially positive in the third quarter, we still expect them to remain below last year. On a positive note, we continue to see relative strength in lumber and panels and automotive while grain in both Canada and the U.S. looks to be strong. We still expect carloads to be lower than last year in the mid single-digit range while pricing will stay ahead of inflation. We assume that the Canadian to U.S. dollar exchange rate will continue to be in the range of 0.75 to 0.80 while fuel prices using WTI will now be between $40 and $50 per barrel. These factors still make it a challenging environment for us, including tougher cost management comparables for the fourth quarter on a year-over-year basis and more normalized winter operating conditions versus unseasonably warm weather last year. With respect to capital investments, we continue to reinvest in our business to support the safety, superior service and efficiency of our network. We are keeping our capital investment program at CAD 2.75 billion for year, and we have been deploying this capital very productively, generating mid-teen unit cost saving. Furthermore, we continue to deliver sustainable value for our shareholders and reward them with consistent dividend and share buyback returns. CN's annual dividend was increased by 20% earlier this year, and we are moving towards a 35% dividend payout ratio. In addition, we are completing our current 2 billion share buyback program on October 29, and I'm pleased to announce that our Board of Directors have just approved a new normal course issuer bid program for the repurchase of up to 33 million shares and approximately 2 billion to be completed over the next 12 months. Over the past five years, CN has repurchased 135 million shares, returning approximately CAD 8 billion to its shareholders. So despite a continued challenging environment in 2016, we remain focused and committed to managing the business by protecting earnings while strongly positioning ourselves for the future and long-term competitiveness. On this note, back to you, Luc.
Luc Jobin - Canadian National Railway Co.: Thanks, Ghis. So to recap, as we look ahead, you heard JJ describe how our volume environment is shaping up, still sluggish, but improving sequentially in the number of markets. Mike, I think, illustrated very well how the operating team continues to drive our agenda of operational and service excellence, leveraging innovation and staying true to our objective of providing quality service to our customers. Ghislain shared with you our updated annual outlook and the new share buyback program. So on that note, we'll be happy to take your calls.
Operator: Thank you. The first question is from Scott Group from Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey. Thanks. Good afternoon, guys.
Luc Jobin - Canadian National Railway Co.: Good afternoon.
Scott H. Group - Wolfe Research LLC: So, I think I heard you say a couple of times, talk about inflation plus pricing. Wanted to ask you though, if we see an uptick in inflation next year, are you still confident that you can see an uptick in your own pricing and see inflation plus pricing next year too?
Jean-Jacques Ruest - Canadian National Railway Co.: Maybe I'll pick up that one. It's JJ speaking. I think they might be aligned depending how inflation evolves. I'm not sure inflation will really pick up that fast. But when inflation picks up there might be some lag in time between the base of inflation on – and the pricing falling behind. But if you take it more than just one quarter at a time, inflation plus pricing is still the model I think that – in the rail industry is the model.
Luc Jobin - Canadian National Railway Co.: And I think, just to add to JJ's point, I mean, at this juncture we're not seeing inflation running away, so we'll have to see how things evolve, and then over time we still feel that we have the ability to adapt. And historically inflation has not necessarily been a bad thing in terms of ability to price. So we're optimistic that we can sustain our position of inflation plus.
Paul A. N. Butcher - Canadian National Railway Co.: Thanks, Scott.
Scott H. Group - Wolfe Research LLC: Okay. Thank you, guys.
Luc Jobin - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Walter Spracklin from RBC. Please go ahead.
Walter Spracklin - RBC Dominion Securities, Inc.: Yeah, thanks very much. Good afternoon, everyone. Looking at your operating ratio, obviously, very successful operating ratio again this quarter, and congratulations on that. As we look out to next year, looking at anything that might not be sustainable or we should look at, particularly those headwinds that you're aware of and know about today, what would you point us to, and understand you're not giving guidance on OR, but if we're looking out to 2017 as we are, are there any known headwinds that you'd really flag when we look at our OR assumptions for next year?
Luc Jobin - Canadian National Railway Co.: Yes. Thanks, Walter, it's Luc. I would probably say that the rising price of oil will play a role as you know, I mean, just the pure mechanics of it, plus you add to that the lag that comes with it, so that's an area that's going to put a little bit of pressure, I believe. Also, I think Ghislain may want to talk a little bit about how we see pension. But this year it's been a significant tailwind, and I think next year, Ghis, you're looking more at a little bit of a headwind, right?
Ghislain Houle - Canadian National Railway Co.: Yeah, Walter, as I mentioned in my remarks, this year pension has been a tailwind of about CAD 180 million. If you assume that discount rates at the end of December remain to where they are today, and interest rates are around 3.25%, then we could be looking at a headwind on pension next year of around give or take CAD 50 million.
Walter Spracklin - RBC Dominion Securities, Inc.: CAD 50 million.
Ghislain Houle - Canadian National Railway Co.: Well, again this is determined on the interest rate at the end of December, but if they remain that way then that's what we're looking at.
Michael A. Cory - Canadian National Railway Co.: And Walter, it's Mike here. We're predicting a more normal winter than we had last year. And the spread of it is unsure yet. I mean, I don't know if it's going to start in the Prairies of Alberta or the Prairies of Manitoba, Saskatchewan, but we know there's going to be more snow, more cold, and that will start up in December and carry right through for a normal winter. So that will have an effect also.
Walter Spracklin - RBC Dominion Securities, Inc.: Casualty and other there, Mike, is that – was this a particularly good year on casualty and other, should we model that as well?
Ghislain Houle - Canadian National Railway Co.: I think we've all – Walter, this is Ghislain, we've always guided around CAD 90 million per quarter. I think that's the right run rate, and I would continue to assume that.
Luc Jobin - Canadian National Railway Co.: Yeah, Walter, I mean this is something very difficult to predict of course. I think what we've done is we've made a number of very significant improvements in terms of our safety record. And I would expect that a lot of that is going to stick. But if you have a very cold winter then obviously, we'll be facing a little bit more of a headwind, as Mike described. I think the key point here is no matter what the conditions are, you can expect us to perform at industry leading – at an industry leading level. And I'll remind everybody that we don't necessarily manage the business for the operating ratio. We manage the business to do what's right for our customers, and we do it safely, efficiently, and that's really the formula that we keep working against. So it will fall where it falls. You just should rest assured that we'll give it our best shot, and usually, that's industry leading.
Walter Spracklin - RBC Dominion Securities, Inc.: Okay. That's great. Thank you very much.
Luc Jobin - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Tom Wadewitz from UBS. Please go ahead.
Thomas Wadewitz - UBS Securities LLC: Good afternoon. I don't know if you can clarify, the CAD 50 million headwind, is that a year-over-year number, is that what you were saying?
Ghislain Houle - Canadian National Railway Co.: Yes, Tom, it's a year-over-year number.
Thomas Wadewitz - UBS Securities LLC: That's year-over-year. Okay. Okay, great. On the intermodal. I mean you talked about a couple markets that seem to be bottoming. I think the tone of overall volume outlook seems constructive. What are your thoughts on intermodal volume outlook, and then I don't know if you could offer a thought on pricing competition in intermodal. It seems like that's been a market, which has been pretty week, and it seems like it's tough to have visibility to what the freight outlook is in that market. So any thoughts on those two would be helpful. Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Yes, Tom, it's JJ. I think looking short-term, the intermodal volume, I think North America and for CN is a little weak, both domestically where we compete very hard with the trucking industry who has lesser capacity and better cost than they did when the drivers were in short supply and fuel was expensive. And on the product coming from overseas, I mean those trade are not as buoyant as they were two years ago. So things are a little on the weak side right now in intermodal, so I think we have to recognize that and look for 2017 to hope to see some better environment on the volume side. And on the price side, I mean we are competing for the business, as I said competition on the over-the-highway is fairly tough, especially in the case of CN where we do cross-border, because that's a shorter length of haul. And when the product comes from the coast, we compete with many railroads in many ports, and this is where operating ratio come in handy. We use it responsibly where it makes sense and where it doesn't make sense, we don't. So it's a complete environment. That's all it is.
Thomas Wadewitz - UBS Securities LLC: Okay. Great. Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Luc Jobin - Canadian National Railway Co.: Thanks, Tom.
Operator: Thank you. The next question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun - BMO Capital Markets (Canada): Yes, good afternoon. Thank you for taking the question. Just one clarification first, and then I have a question on pricing. So for your fourth quarter, your guidance implies if my math is right about a 5% lower earnings on a year-over-year basis, although, you have a bit of a more tailwind on the volume side. I was wondering if this is just a function of what you've just indicated, which is normal winter and maybe some tough comps on the costs. Are there any other factors going in there? And secondly on the pricing side, just big picture question for JJ. So I think over the last 12, 14 years, you've really have had pricing of 3% or more in every single year even though we have gone through episodes were the transportation industry had excess supply, and I was wondering whether there's something different about this freight recession were in. Are we seeing sort of a business mix that is probably more cyclical, and therefore we're seeing sort of the pricing being a little bit more vulnerable, this freight downturn. Is there something changing in terms of this pricing story? Are we maybe at a more mature stage in this pricing story if you can add any color on that, would be great.
Ghislain Houle - Canadian National Railway Co.: Maybe I can start Fadi, this is Ghislain. On the fuel surcharge, just to make sure that you remember last year we had a positive lag in the fourth quarter of about CAD 0.02. And obviously this year, as Luc mentioned, if fuel prices stays where they are, we assume a slight headwind on the fuel lag in the fourth quarter. So that has to be taken into consideration. And as you mentioned as well, and Mike mentioned it, obviously we are assuming a normal winter operating condition in December, and if you remember last year December was unseasonably warm. And I remember in Montréal on the 23rd of December was around 20 degrees Celsius. So I mean when you take that into consideration, that's what supports our guidance of what we've put forward.
Luc Jobin - Canadian National Railway Co.: Also just maybe to add a little color, Fadi. I mean it remains to be seen, given the lack of visibility, where generally our customers are going to – how they're going to taper down as we get to the last few weeks of December. The inventory levels may see some adjustments or we may see as well a little bit of early shutdowns for maintenance and so on and so forth. So I think we're – we've put the guidance out there because we wanted to give you our best view. It does reflect some of these – some of these factors that we don't control. And obviously we'll have to see how those things eventually pan out. But we feel comfortable with the guidance that we've put out there. It calls for generally more normal conditions, and we'll see where we are.
Jean-Jacques Ruest - Canadian National Railway Co.: Yes. On that, it's JJ, Fadi. Ghislain asked me that question earlier, is what's going to happen in the last two weeks the quarter, and we don't know it. If we understood the last two weeks of the quarter whether customers will overstock, destock and what kind of weather we will have, it will be easier for us to call the fourth quarter. Going back to your question on pricing, I think it's important to reflect, as you said on our last many years, and the rail industry in the last many years has always been inflation plus pricing. So if you do the compounding effect of all these years, where we get the inflation plus something, it's quite a powerful model, and that's how as an industry we get these operating ratio that we all have. We all improved. It's more than just the fact that fuel is cheaper. It's also the fact that the industry is getting healthier and the industry is getting good compounding same store price above inflation. I think another factor is historically we may have all made some mistakes five, 10 years ago, and as contracts get repriced, we reprice them closer to the market. So you get some of these one-time effect, I think all railroad had some of that – some of the railroads more than others. But we all benefited from that up to a point. But maybe as a little more specific at this point where we're at, the economy has been weak now for a bit, and many of us, including at CN, we all have invested a lot of capital, so all the railroad has lots of capacity. The railroad system it at capacity, the trucking industry is at capacity, and we all have equipment parked. We park locomotives, the trucking industry is parking rigs, and that has an effect, obviously, on the industry impact. So eventually on the whole, North American transportation industry is sort of digesting a little more of its capacity, I think the pricing power will get stronger. But inflation plus pricing in the current economic environment up to about 10 years of inflation plus pricing, very good.
Luc Jobin - Canadian National Railway Co.: Thank you very much Fadi.
Fadi Chamoun - BMO Capital Markets (Canada): Thank you.
Operator: Thank you. The next question is from Ravi Shanker from Morgan Stanley. Please go ahead.
Ravi Shanker - Morgan Stanley & Co. LLC: Thanks. Good afternoon, everyone. Just to follow up a little bit on the pricing commentary. Is it safe to assume that you will see stable pricing at the current levels of say a high 2% range, ex-regulated grain unless you see a big spike in inflation? And also when does the grain pricing show up in the overall pricing?
Jean-Jacques Ruest - Canadian National Railway Co.: Okay. What – we don't provide guidance or outlook on pricing for quarter, we're not providing guidance for next year either. So that's why we stay with the general term of inflation plus pricing. If anybody can give us exactly what inflation will be next year, maybe we could be more precise on how much pricing we hope to get. Regarding the grain side, the regular grain is somewhat under beyond our control to formulate the federal government run. The formula produced a 4.8% price increase available August 1. We at CN did not pick at August 1, we will take it at the beginning of the fourth quarter. That's why I've used – I took out the regular grain because it was a bit of a headwind for us in the third quarter. It will become a tailwind in the fourth quarter. And as you know we do have some legacy contract, life of mind, where the pricing includes the fuel. That's why those are, obviously, still negative in that point of view.
Ravi Shanker - Morgan Stanley & Co. LLC: Sorry, go ahead.
Jean-Jacques Ruest - Canadian National Railway Co.: Go ahead.
Ravi Shanker - Morgan Stanley & Co. LLC: I was going to ask will all the grain re-price right away, or will that take time to work through the volumes?
Jean-Jacques Ruest - Canadian National Railway Co.: The grain price we took effective 1st of October. The grain cap gives you a formula. You can take the price over the 12 months, 10 months, 9 months. It's up to each company to decide how we do that. In our case we decided to wait for the crop to come in before we took the price increase.
Luc Jobin - Canadian National Railway Co.: So Ravi, we'll effectively work through the balance of the season as JJ is pointing out. Thank you.
Ravi Shanker - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Thank you. The next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne - TD Securities, Inc.: Thanks very much and good afternoon. So a question for Mike. You provided some good detail on productivity in your bulk network, but I was actually pleasantly surprised by the year-over-year improvement in your yards productivity, particularly given some puts and takes on the merchandise volumes. Maybe you can just elaborate there a little bit more?
Michael A. Cory - Canadian National Railway Co.: Sure, Cherilyn. We – I spoke about significant siding investments, but we've also over the last few years taken a close look at our yards and to accommodate the size of those trains we've done things like lengthen tracks and yards so that we eliminated the amount of handlings we had on the cars. We've done that in our hump yards with pullbacks. We reconfigured tracks in our yards in order to gain both speed and safety. So we never – we never take our eyes off the yards. We do the same type of investment approach as we do on the mainline because again it's about safety, productivity, and service.
Cherilyn Radbourne - TD Securities, Inc.: Great. Thank you. That's all for me.
Paul A. N. Butcher - Canadian National Railway Co.: Thank you Cherilyn.
Luc Jobin - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Jason Seidl from Cowen and Company. Please go ahead.
Jason H. Seidl - Cowen & Co. LLC: Hey, guys, how's everyone?
Luc Jobin - Canadian National Railway Co.: Very good. Thanks, Jason.
Jason H. Seidl - Cowen & Co. LLC: So my one here is going to be on the productivity. Now, I think you mentioned obviously it's going to get a little bit tougher with the winter weather, especially on a year-over-year basis, but how should we start thinking about 2017 on productivity? I mean, there's nothing really preventing you from continuing to post gains on this front is there?
Michael A. Cory - Canadian National Railway Co.: No, because, Jason, it's our approach. I'm just going to kind of keep repeating the same things. We start with making every effort that we can to have a safe and reliable network. That's job number one. And then really our key driver after that when it comes to productivity is the train length size, and we're in position over the majority of our network to run at the size that we run in more. So there is some incremental opportunity with volumes that start to come back, depending on mix of course. And then third, we still will target specific investments where that ROI feeds back into that productivity cycle. So with that longer train we also are able to get productivities in fuel and locomotive use. But it's going to be the same story, same approach as we go forward, so we expect good results, no different than they are today, and that's where we're going.
Luc Jobin - Canadian National Railway Co.: And Jason, just to add to Mike's comments, I mean, I think again we have to see what the level of volume will be, and obviously we've worked very hard to bring a significant level of improvement in terms of our service. It is important for our customers, and needless to say it's a balancing act here. So the improvements we're making on productivity are not coming at the expense of service, and there are times where we're also willing to invest in service for some of our great customers because that's how we've built long-term relationships, and those things matter. So, obviously, the guys never cease to amaze all of us in terms of their innovation and the way they look at the business and the way we interact with the supply chain also gives us a big edge. Otherwise we wouldn't be able to identify and pursue a lot of these initiatives. So it gets tougher, because I think the level of performance is just impeccable, I mean, it's stellar. So it always gets tougher. But we've never shied away from looking at our business and continuing to improve. So maybe the quantum – you can't bank on the same quantum of improvement, but clearly the game plan of the team is clear, as Mike laid it out. I mean, everybody – that's our agenda. So it should be no surprise.
Jason H. Seidl - Cowen & Co. LLC: So I guess the game plan is for you guys to keep making your year-over-year comps difficult for yourselves?
Luc Jobin - Canadian National Railway Co.: Absolutely.
Unknown Speaker: Absolutely, Jason.
Jason H. Seidl - Cowen & Co. LLC: Appreciate the time, guys.
Unknown Speaker: All right.
Operator: Thank you. The next question is from Turan Quettawala from Scotiabank. Please go ahead.
Milan Posarac - Scotia Capital, Inc. (Broker): Hi there. This is Milan Posarac on for Turan today. Just wanted to talk a little bit about the coal market and met coal mines in Northern BC. Now that coal prices have risen dramatically, if that sort of sticks, how long you think it would take for some of the mines to really start break – ramping back up and what kind of opportunity could this be for you? And I know you mentioned there is one that's coming on line in Q4. But are there any others, or what's the opportunity there? Thanks.
Michael A. Cory - Canadian National Railway Co.: It's Mike here. We actually have already started to move some of the coal from the first mine that had available stockpile. The second mine, and JJ will talk to it here in a second, is actually starting up, and we're in preparation of making that happen. So, go ahead, JJ.
Jean-Jacques Ruest - Canadian National Railway Co.: Yeah. So these were the mines that – we're talking met coal, right, we're not talking thermal coal?
Milan Posarac - Scotia Capital, Inc. (Broker): Yes, yes.
Jean-Jacques Ruest - Canadian National Railway Co.: Yes. On the met coal side we had some mines in Canada that were used to be under the ownership of Walter, and as it went bankrupt, they come back from bankruptcy with a new owner and one mine is restarting. They will restart this quarter. I would take that as a positive sign, right, rather than having a decline in funds and declining revenue, we have a revival of some volume; take that for what it is. The real issue though is that the met coal market in the world is not improving because the Chinese are buying more coal. It's because the Chinese are producing less coal, because the government has decided that they will produce less coal. So the price is up right now, it's not because the demand is strong, it's because they cut back supply. So hoping that this will stay in place, the price stays high and the Chinese decide to stay with their model of cutting back, forcing their own local mines to restrict production. Then we should see more coal mine coming out from BC. Obviously, starting a mine takes quite a while, but if you restart a mine there was an operation that takes less time.
Luc Jobin - Canadian National Railway Co.: And we have the capacity to move whatever comes our way so it's a good end to the story.
Milan Posarac - Scotia Capital, Inc. (Broker): Okay. Great.
Jean-Jacques Ruest - Canadian National Railway Co.: (45:12) to be negative.
Milan Posarac - Scotia Capital, Inc. (Broker): Okay. And thank you. And this is moving through Ridley, is that correct?
Luc Jobin - Canadian National Railway Co.: That's correct. Yes.
Jean-Jacques Ruest - Canadian National Railway Co.: Yeah. Ridley Rupert.
Milan Posarac - Scotia Capital, Inc. (Broker): Thank you.
Luc Jobin - Canadian National Railway Co.: Thank you very much.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Brandon Oglenski from Barclays. Please go ahead.
Brandon Oglenski - Barclays Capital, Inc.: Yes, good afternoon everyone, Thanks for getting my question in. Luc, you've had about a quarter now with your new executive leadership team, so just wondering, you got some pretty big shoes to fill here after the prior two CEOs. First, with CN precision railroading, and then Claude Mongeau really focusing on supply chain enablement and a lot of top line expansion, lot of energy expansion in Canada. What's going to be your legacy at CN with this management team? You guys already have the industry best leading OR, trying back CAD 2 billion dollars in stock. I mean, what's your vision going forward, what do you do from here?
Luc Jobin - Canadian National Railway Co.: Yes. Thanks Brandon. That's an easy one to toss up (46:00), right. Well, first and foremost, let me say a few words about the first 100 days and the leadership team. I'm really enthused; I think the team is gelling together very well. We enjoy working with each other. We challenge each other, and I think that's a very, very good environment to work in. I've been out on the property, certainly with Mike, meeting all of our employees, getting them energized, talking about the way forward, and I'll come back to that in terms of the vision. JJ and I have been meeting with customers, so you know a lot of good engagement there. And what I'm hearing from the customers is they like our product, they appreciate the efforts that we're doing in terms of pushing forward in supply chain. So that bodes well, and I think we continue to impress them in terms of our ability to move their precious cargo to market. Paul and I and Ghislain as well, we've been out meeting with investors, and they're also telling us that they like the way CN has been performing. Our strategy has and continues to resonate with customers. So from that standpoint I wouldn't expect any major change. Sean and I have also been out there meeting with the regulators, engaging with them, and I think that's also – has been a very positive series of meetings. So all-in-all, the first 100 days confirm what I kind of knew already, but it's good to see. The property is in good shape. We've got a great strategy, which continues to resonate with our customers. It's all about going out there and with our supply chain mindset continuing to innovate, continuing to operate in a way that balances the productivity and the service improvements. And so to a large extent I would say the journey continues. And this is a strategy which many of us, certainly JJ, Ghislain and I have been part of working through with Claude, and so we are continuing on that same momentum. We don't make up the economy, so to a certain extent we've seen a significant correction in some of the commodities where we had a lot of growth in the last couple years. But we're a pretty resilient bunch. You can see our numbers. We're continuing to grind it out there, and we've got a very innovative commercial team as well as operating team. So you know, I feel very good. I think in terms of looking at the future, if there is anything, I think what we want to do is we want to leverage a little bit more and deploy a little bit more technology to continue to make advancements in terms of safety, productivity, and service. So that's one area that we will be focusing a little bit more on in the next few years. But otherwise, I would say this is not a revolution. This is going to be an evolution. And you've got a tremendous franchise. JJ pointed to the diversification in terms of geography and customers and commodities. And you've got a very energized team of railroaders all the way from the frontlines, all the way up to the headquarters and the leadership team around this table. So I feel pretty good and I think the – if I can continue the momentum that was built by my predecessors, that's pretty good. I mean, I would take that gladly, and I think I'm not at the point were I feel there is a breakthrough strategy that's just waiting around the corner. So this is a continued progress in a competitive environment with a great franchise and probably the best management team in the whole business bar none, so I feel pretty good.
Brandon Oglenski - Barclays Capital, Inc.: Good answer Luc. Thank you.
Luc Jobin - Canadian National Railway Co.: I hope that gives you some insights, Brandon.
Michael A. Cory - Canadian National Railway Co.: Just watch us.
Operator: Thank you. The next question is from Chris Wetherbee from Citi. Please go ahead.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Great thanks. Thanks for this time this afternoon. I wanted ask about – drill down a little bit on the volume outlook. When you think about the fourth quarter, and I think some of the sequential improvements in some of these end markets, JJ, that you highlighted. Do you think we can get to positive carloads for the fourth quarter? And then sort of looking at comps and all the puts and takes as we start to think out 2017, any sort of early outlook for sort of what you like, what markets you like, what you don't, how that might play out in terms of carload growth that would be helpful? Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: It's JJ, Chris. So I think I'll maybe leave 2017 for the next conference call. So with the fourth quarter, so far this quarter when you look at the CN carloads, we are positive. The reason for that, we have a lot of noise in our short haul business of iron ore. We have a mine that shutdown, one that reopened. Maybe much more relevant is our revenue ton mile, which is right now slightly positive. I would hope that we can have some slightly positive revenue ton mile again in the quarter. As we said earlier, the last 20 days of December – if the last 20 days of December we have challenge in weather which would impact grain, or if we have customers who decide that they want to end the year with very low inventory or in manufacturing or retail then obviously, I think, the game will be played in the last 20 days of the quarter. And that's – we're hoping for something slightly positive, but definitely sequentially the things just get better and better slowly, but surely. I don't know if that can help, and we get into 2017, you ask me that question again in next quarter.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Fair enough. Thanks very much. Appreciate it.
Luc Jobin - Canadian National Railway Co.: Thanks, Chris.
Operator: Thank you. The next question is from Bascome Majors from Susquehanna. Please go ahead.
Bascome Majors - Susquehanna Financial Group LLLP: Yeah. Thanks. So you talked a little bit earlier about having the best management team in the industry. That's historically led competitors to hire some of your key people away. And you've recently gone through a pretty significant reshuffling at the senior management level. Can you let us know how you make sure the competition doesn't poach your top talent, be it existing or recently departed, and use them to compete against you, either in Canada or the U.S.?
Luc Jobin - Canadian National Railway Co.: Yes, Bascome, it's Luc. Listen, I think first and foremost, it's about getting our team to be really engaged in what we do. I mean, in this industry everybody has pretty decent compensation. What's actually more important is how people are involved in leading the company and making a difference, and so I would tell you that the level of engagement that we have at CN is very, very high. And with this leadership team, even higher than ever before. And that's not a criticism on the past; that's more how excited I am about the future. So that's in terms of retaining our folks. We also have, needless to say, compensation plans, which focused on long-term compensation and that long-term compensation comes with a caveat in terms of people leaving the organization. So that never-ending guarantee because somebody can actually buy you out, so the first job is to get everybody engaged in making a difference in terms of the team. Then, also, as Ghislain pointed out, we did come to an agreement with CP with respect to some outstanding litigation. As part of that, we have agreed with them, and they have agreed to extend for another two years, the non-hire agreement that we had, which was due to and at the end of December 2016. So now this will extend to 2018. So those things are mechanisms to prevent poaching or to minimize the risk of poaching. But I would say job number one is get everybody engaged, get everybody contributing, energized, and that's really what makes the difference. And beyond that, these are the mechanisms that are out there to help us cope with aggressive behaviors to get to our great talent. Thank you for the question.
Bascome Majors - Susquehanna Financial Group LLLP: Thank you.
Operator: Thank you. The next question is from Allison Landry from Credit Suisse. Please go ahead.
Danny C. Schuster - Credit Suisse Securities (USA) LLC (Broker): Hi, this is Danny Schuster on for Allison. Thank you for getting my question in. So you had another very strong quarter in automotive from a volume perspective. And I think last quarter you actually cautioned that auto sales might be looking a little bit peakish. But just wondering whether the new business you started in September and October should be enough to drive absolute volume growth over the next few quarters here. And also in that context, it looks like your automotive RPU declined sequentially by a couple percent. Was that due to the new customer starts, or is there something else driving that, and should we expect to see that going forward?
Jean-Jacques Ruest - Canadian National Railway Co.: Hi, it's JJ. Yes, I think it's probably fairly wide consensus within those who follow the automotive industry. The automotive sales in North America with Canada and (56:03) U.S. have sort of reached plateau and may start to – I mean I wouldn't say decline, but they may not be the growth that we had the year-over-year for the last few years. That's number one. That's the environment that we all have. So in case of CN, we focus on the cities where we do have a rail network, and how much of a market share do we have of the vehicle purchased by consumers in those cities. And along those lines, we've been able – are able to slowly grow our participation in what's purchased in those cities, even though the market might be slightly flat or slightly down, and that's the reason why we have revenue growth, and we expect to have some continued revenue growth here for a period of time. Regarding the revenue per carload or I think you were talking, these are the mix, the length of haul, the mix of business we have now, which is the mix of business we had three months ago and six months ago. And I've never been really big on revenue per carload. We have exchange, we have fuel, we have length of haul. These numbers are hard to come to any conclusion on.
Luc Jobin - Canadian National Railway Co.: A lot of noise on those numbers.
Jean-Jacques Ruest - Canadian National Railway Co.: A lot of noise.
Luc Jobin - Canadian National Railway Co.: Thank you for the question.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Danny C. Schuster - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Operator: Thank you. The next question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier - Desjardins Securities, Inc.: Yes, thank you very much, and good afternoon, guys. Just in terms of financial position, obviously you came in with again strong numbers with the debt EBITDA of 1.7. Obviously, 2016 has been a big year in terms of locomotive purchases. There's still some upside in terms of raising the dividend, but I was just wondering, looking ahead, whether you still see some opportunities for some tuck-ins or you could become a little bit heavier in terms of a share buyback going forward? Thanks.
Ghislain Houle - Canadian National Railway Co.: Hi, Benoit. It's Ghislain (58:14). As I said in my remarks, our board has just approved a share buyback. We're pleased about that, about 33 million shares or CAD 2 billion. In terms of dividends, this will be decided in January as we usually do. So we are in our planning process as we speak. So we will look at it. So stay tuned. In terms of CapEx, as you alluded to on the locomotives, yes we has – about all received our 90 new locomotives this year. Again, we will look at capital hard, and as we've said in the second quarter call, obviously it gives us an opportunity to reduce our CapEx. We're talking about CAD 300 million related to these locomotives. But one area that I want to make sure that you understand is we will not compromise on our basic investment. We have not compromised this year, and we will not compromise because we believe in the long-term value of our franchise. And when you decide to reduce basic actually you don't avoid CapEx, you just defer CapEx. So we have been deploying CapEx this year, and our rail and ties that have been installed this year, we've actually produced somewhere between 15% and 20% savings in unit costs. So it's been very good deployment. And this is an area where we will not compromise.
Luc Jobin - Canadian National Railway Co.: And Benoit, this is Luc. Just to supplement a little bit what Ghislain is saying. I mean, we continue to look at, I mean, we want to be opportunistic in terms of bolt-ons. So if we see some tuck-ins out there that make sense. Historically I think the pricing environment was way too rich, and so we're pretty disciplined in terms of deploying capital. So we haven't necessarily made any significant acquisition. So we'll be looking. Things are little bit tougher for a lot of the smaller railways, and I think that there could be some opportunities out there that could come to grip – to fruition. These would not be of a multibillion-dollar scale. But we're clearly keeping an eye out there. And on top of that, I think just to add to the comments from Ghislain, if we see some good piece of business, some good customers, and there are opportunities to invest – co-invest with them in terms of growing the franchise, we are a longer term players. So we're not shy about putting the money forward, and if that is to potentially take us to raise our capital budget, well so be it. I mean, we're here to grow the business. It's just that we are disciplined and the opportunities for investment have been a little bit scarce if you look outside of our own network at this juncture.
Benoit Poirier - Desjardins Securities, Inc.: Okay. Perfect. Very good color. Thank you very much.
Luc Jobin - Canadian National Railway Co.: Thank you, Benoit.
Ghislain Houle - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Brian Ossenbeck from JPMorgan. Please go ahead.
Brian P. Ossenbeck - JPMorgan Securities LLC: Hey guys, good afternoon. Thanks for getting me on the call here. Just had a quick one for JJ. You mentioned that crude and frac sand hit their trough in the second quarter this year, so what do you seem to conclude that, and it's probably not a big bounce, but the Maya, the spread has (1:02:03) actually fallen throughout all of third quarter. And I was also curious the comments that you made in the slide deck about being opportunistic in the approach to team volumes in this business. So, if you could elaborate on both those, appreciate it. Thanks.
Jean-Jacques Ruest - Canadian National Railway Co.: So the case of frac sand, we have seen some improvement in the volume – total volume coming to us. I think it may be the case for many railroads too. The drilling activity is slightly better. I mean, first we had to find the bottom. I think the bottom has been found sometime in the summer depending, on which commodity – surely we did quite see that bottoming in the case of frac sand. If you look at – I think one of the company we're talking about, Precision Drilling, the CEO was saying that they have seen some more work coming in at them in Western Canada regarding drilling activities. Not necessarily a whole lot more work sequentially, but sequentially positive as opposed to say sequentially negative. So little more optimistic on frac sand, because it was very negative for quite a while. We might still be below last year in the fourth quarter but something better than sequentially basis. On the crude. Crude, we had a decent third quarter with crude carload, everything relative from where we came from. And I don't know whether the spread here mattered are not, because the movement of crude right now is limited to a handful of buyers and sellers. And they're still moving crude as we speak. So crude is right now seems to be kind of a faulty run rate. And unfortunately take as a meaning, we don't sign at all long-term contract when it comes to crude, we go by month-by-month, quarter-by-quarter, as long as it makes sense for all parties involved, we do it. If it doesn't make sense for one of the parties, either the railroad, the buyer, or the seller, or the crew, then we just slow down. I don't know if that helps, but these are – you go from negative to slightly positive with better future than what we had in the past.
Paul A. N. Butcher - Canadian National Railway Co.: Thanks for your question, Brian.
Operator: Thank you. The next question is from Ken Hoexter from Merrill Lynch. Please go ahead.
Kenneth S. Hoexter - Bank of America Merrill Lynch: Great. Good afternoon. I know it's getting a little late here but I'm surprised not too much on the grain crop. In earlier you mentioned kind of just talked a little bit about the grain in the winter, that crops running above five-year averages. Can you maybe give a little thoughts, JJ, on your thoughts for the uptick here, the scale of that uptick? And then you mentioned earlier that storage was virtually empty, yet the bumper crop so you've already brought back employees. So, with respect to employees any thoughts on kind of margin pressure as you move forward with the growth of that crop?
Jean-Jacques Ruest - Canadian National Railway Co.: Well, regarding the storage when we were getting geared up in August, September to grain there was not much grain left from last year. That's what I meant. We had to wait for the new crop to come in. It did come in, but it came in later than we thought. It's coming in large quantities, so will that be an upside for the fourth quarter – in the first quarter of next year? Potentially. And will be more about us because it will depend how hard we can run the railroad in our department, and that will be partly in the hand of Mike and also the weather. What we can more likely see is we think there'll be more grain less at a time you get to the spring, and that's where the big crop does. The season extends longer, and that's where the benefit will come in. The benefit will mostly come in 2017. Not so much in the next quarter. I don't know, Mike, if you want to...
Michael A. Cory - Canadian National Railway Co.: Ken, I'm not quite sure what you were asking about with people.
Kenneth S. Hoexter - Bank of America Merrill Lynch: So you mentioned that you were bringing employees back on from furlough already, right, to help move the crop, did I catch that comment right?
Michael A. Cory - Canadian National Railway Co.: No. Absolutely you did, and we did that in line without the crop. Even though it was delayed, we were very close with the grain shippers to make sure we brought them back at the appropriate time. So they're all out there working right now, and we're moving, as JJ said, record amounts. So.
Kenneth S. Hoexter - Bank of America Merrill Lynch: So timing with the crop growth, not ahead of time where you have to retrain or anything, so it should be kind of concurrent with the volume growth?
Michael A. Cory - Canadian National Railway Co.: Absolutely.
Kenneth S. Hoexter - Bank of America Merrill Lynch: And JJ, I'm sorry, did you give a scale, your thought on kind of what kind of percentage growth you should see move versus going back to filling up storage?
Jean-Jacques Ruest - Canadian National Railway Co.: I'm not sure I understand your question. Could you?
Kenneth S. Hoexter - Bank of America Merrill Lynch: Kind of the size of – what kind of grain growth should we expect, or is built into your numbers in terms of your volume estimates?
Jean-Jacques Ruest - Canadian National Railway Co.: I mean the crop is not all in yet. We're assuming a crop maybe in the range of 75 million tons which would be 1 million ton or two below the record. And what you're asking is, basically getting us into 2017 and how much we're going to do grain next year. At this point, all I would say is we will do more next year than we did this year.
Kenneth S. Hoexter - Bank of America Merrill Lynch: All right. Thank you.
Luc Jobin - Canadian National Railway Co.: Thanks for your question.
Kenneth S. Hoexter - Bank of America Merrill Lynch: Thanks.
Luc Jobin - Canadian National Railway Co.: All right. So maybe in closing, I'll make a couple remarks. First of all, I have to say that I'm very proud of what the team has accomplished this year. I mean we've demonstrated our ability to deliver solid results in what is unquestionably a challenging environment. Our industry-leading team of railroaders delivered once again through solid execution, and at the same time we continued our focus on leveraging our superior service to our customers, which as JJ pointed out, I mean, helps us gain traction in the marketplace. We also continue to reinvest in our infrastructure, and you've heard the comments from both Ghislain and Mike on that topic. It clearly is there to support safety, service and productivity improvements. So as the economy evolves and commodity sectors gradually recover, I think we're very well-positioned to compete and deliver continued shareholder value. So on that note, we certainly look forward to talking to you again in January to review our results for the fourth quarter and for the full year 2016. At that time, we will also provide you with our annual – 2017 annual outlook or guidance, if you want to call it that. So on that note, thank you very much everybody for joining the call and be safe. So it's Luc thanking everybody for your participation. Patrick?
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and thank you for your participation.